Operator: Ladies and gentlemen, good morning or good afternoon. Welcome to the STMicroelectronics First Quarter 2018 Earnings Release Conference Call and Live Webcast. I'm Moira, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. After the presentation, there will be a Q&A session. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Tait Sorensen, Group Vice President-Investor Relations. Please go ahead, sir.
Tait Sorensen - STMicroelectronics NV: Good morning. Thank you, everyone, for joining our first quarter 2018 financial results conference call. Hosting the call today is Carlo Bozotti, ST's President and Chief Executive Officer. Joining Carlo on the call today are Jean-Marc Chery, Deputy CEO and Designated President and CEO; Carlo Ferro, Chief Financial Officer; Georges Penalver, Chief Strategy Officer; and Lorenzo Grandi, Corporate Vice President, Corporate Control. This live webcast can be accessed through ST's website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST's results to differ materially from management's expectations and plans. We encourage you to review the safe harbor statement contained in the press release that was issued with the results this morning, and also in ST's most recent regulatory filings for a full description of these risk factors. Also, to ensure all participants have an opportunity to ask questions during the Q&A session, please limit yourself to one question and a brief follow-up. And now, I'd now like to turn the call over to Mr. Carlo Bozotti, ST's President and CEO. Carlo?
Carlo Bozotti - STMicroelectronics NV: Thank you, Tait, and thank you for joining us on our first quarter 2018 earnings conference call. Our agenda today includes a summary of the quarter, a detailed product group review, and our second quarter outlook. So, let us begin. Our objective for 2018 is to leverage the results we achieve in 2017, continuing on the path of broad-based sustainable and profitable growth. Based on our first quarter results, we have started the year well on track. Revenues grew 22.2% year-over-year to reach $2.23 billion, and this is our sixth quarter in a row of double digit year-over-year sales growth. Also this quarter, we posted double-digit sales growth across all product groups and regions, thanks to our focus on Smart Driving and IoT applications. On a sequential basis, revenues decreased 9.8%, 20 basis points better than the midpoint of our guidance. We delivered a better-than-seasonal performance in two end markets, Automotive and Industrial, well balanced between large customers and distribution, which represented 37% of our revenues in the first quarter. Gross margin increased 220 basis points year-over-year to 39.9%. Manufacturing efficiency was the largest contributor, followed by product mix. These two improvements were slightly offset by normal pricing adjustments at the start of the year, as well as negative currency effects of about 80 basis points, as well as some one-time negative impact specific to the quarter. On a sequential basis, our gross margin was 40 basis points above the midpoint of our guidance on better product mix. Operating income more than doubled to $269 million in comparison to the 2017 first quarter, thanks to strong improvements across all product groups with higher revenues, increased manufacturing efficiencies, and improved product mix. As a result, our operating margin reached 12.1%, increasing 480 basis points year-over-year from 7.3%. Net income increased more than $131 million year-over-year to $239 million, driving diluted earnings per share to $0.26, more than double compared to the year-ago period. Free cash flow increased by 53% year-over-year to $95 million. In the last 12 months, free cash flow was $372 million, well exceeding the level of our distributed cash dividend. We also strengthened our balance sheet with our net financial position increasing to $522 million. Now, let's move to a detailed review of our product groups. Beginning with our Automotive and Discrete Group, ADG, revenues were higher year-over-year by 15.4% on double-digit growth for both Automotive and Power Discrete products. On a sequential basis, ADG revenues were substantially stable reflecting a better-than-seasonal performance in both areas, with a small decrease in Power Discrete products, mostly offset by slight growth in Automotive. Considering all of our product groups and not only ADG, revenues to the automotive market grew 17.4% year-over-year in Q1. ADG's operating margin doubled to 11% from 5.5% on a year-over-year basis, with significant progression for both Automotive and Power Discrete, reflecting higher revenues and improved gross margin. Moving to the product review of ADG, our proprietary technologies dedicated to automotive applications allow us to develop leading-edge products for each of the needs of the car. For example, our Vertical Intelligent Power technology allowed us to win awards for motor control in a door-zone application with a worldwide leader and a high-end body control module for a European premium carmaker. We also captured an award for our U-Chip power supply and drivers for engine-management and battery-management systems from a major Chinese tier1, and we received multiple design wins from German tier1s for electric power trunk applications. Our automotive microcontroller business saw multiple wins including a design for a chassis stability control unit in Japan. In Infotainment, we received awards for telematics solutions from European and American carmakers and we earned multiple design wins for our Accordo processor family for mid-level car radio systems from several Asian OEMs. We were also choosen to supply class D audio amplifiers for an emergency-call module by a major electric-vehicle maker. Let's now discuss Power Discrete that are pervasive across all the end markets that we address. In Automotive, we continue to grow our silicon carbide business with our silicon carbide MOSFETs in the traction inverter applications of two carmakers in China. We also maintain strong momentum in silicon carbide diodes with multiple design-wins for electric-vehicle on-board chargers. In Industrial, our silicon carbide diodes and power MOSFETs were selected for higher efficiency power conversion systems in servers, solar energy and the Hi-Fi audio systems with both U.S. and European customers. In IGBT, we won sockets for intelligent power modules for washing machines and dishwashers from a market leader and landed a win for MDmesh Power MOSFETs in an implanted cardiovascular defibrillator from a top American medical player. We also won a battery-charger socket with our MOSFET from a leading smartphone manufacturer and earned a major design win for integrated passive device filters in 5G base stations. Moving now to our Analog, MEMS and Sensors Group, AMS, revenues increased 26.5% year-over-year on sharply higher Imaging sales as well as double-digit growth in Analog and MEMS combined. On a sequential basis, AMS revenues decreased by 27.4%, principally reflecting the negative impact of smartphone applications to our Imaging business, while Analog and MEMS posted better-than-seasonal performance with lower quarter-to-quarter sales declines. AMS operating margin expanded to 9.8% from 7.6% in the year-ago period on higher revenues and improved gross margin. Year-over-year, margin evolution reflected, on the one hand, strong expansion of our MEMS business operating performance, as well as improvement in Analog and, on the other hand, the unfavorable effect of smartphone sales on our Imaging business. Moving to the AMS products, our Analog portfolio was very successful with industrial customers. Here, we recorded many design wins for our high-end solutions for smart metering, motor control, solar power appliances, and power supplies. This is thanks to our portfolio of dedicated solutions that have been defined together with industry leaders built on ST proprietary technologies and refined over the past years. Good examples include our STSPIN motor control solutions and our metering ICs. With smartphone makers, our Analog portfolio won an award for a linear regulator from a top OEM, several design wins for Analog and Smart Power products with leading OEMs, and designs for touch-screen solutions with Chinese players. In MEMS sensors and actuators for Industrial, we are seeing an increasing demand in applications such as equipment condition monitoring and asset tracking. These applications often require multiple sensors and sensor fusion know-how, and ST is very well positioned to target this broad industrial customer base. Also, our FlightSense proximity and ranging sensors achieved a number of designs in industrial applications such as robots. In MEMS and Sensors for consumer, we ramped the production for the Samsung Galaxy S9 and S9+ of a full collection of sensors, including a 6-axis MEMS inertial measurement unit, barometric sensor, and an optical-image-stabilization gyroscope. Our success in optical image stabilization gyros is visible at six of the top-10 smartphone models as ranked by DXOMark, a leading source for independent image quality measurement, use ST – six of the top 10 use ST optical image stabilization products. We capture a number of socket for accelerometers and pressure sensors in a top-tier wearable supplier and in a Chinese smartwatch manufacturer, and we earned design-wins for our Time-of-Flight proximity and ranging sensors with several leading Asian smartphone manufacturers. Turning now to our Microcontrollers and Digital ICs Group, MDG, revenues were up 26.6% year-over-year, largely driven by a strong expansion of microcontroller sales. On a sequential basis, Microcontrollers and Digital ICs Group revenues increased 1.3%. MDG operating margin increased to 19.4% from 10.3% in the year-ago quarter, reflecting higher revenue growth, as well as improved gross margin with respect to our Microcontrollers business. We have also achieved a sustainable level of operating profitability for our Digital business. Moving to MDG products, our general purpose STM32 microcontrollers, which are used across a very wide range of products and applications, achieved another quarter of record billings. A few of the many STM32 design-ins include devices from major OEMs in applications such as a digitally controlled Smart Home Air Vent, a new generation of electricity smart plugs, insulin pumps in medical, and fast-charging solutions for smartphones. Our success with the STM32 builds on our broad and deep device portfolio, and our continuously expanding ecosystem. In the first quarter, we began sampling our STM32WB wireless System-on-Chip, which adds Bluetooth low energy and low rate wireless connectivity to our STM32 family. We have further expanded our ecosystem with a cooperation with Sigfox to support the growing demand of connected devices to low-power wide-area network, and added new Discovery Packs for the fast connection of IoT devices to cloud services over cellular networks. Moving to Security, we earned wins for our latest near field communication controllers in various smartphones from key OEMs. Here, we are benefiting from the cooperation we announced last year with MediaTek to integrate our near field communication technology into their mobile platform designs. We also won sockets for our Trusted Platform Module solution from two leading PC manufacturers. In our tags and radars business, we captured design wins for an ST25 near field communication reader and associated near field communication tags for authentication of consumer goods from a major medical equipment company. We also ramped the production for an EEPROM and a SIM card used in the Samsung Galaxy S9 and S9+. In our custom silicon business, we earned a design win for a digital ASIC in 7-nanometer FinFET technology from a new customer active in communications infrastructure, and we won two ASIC designs in BiCMOS technology at an optical market leader. Moving now to our second quarter, based upon the expected mix of our product groups, we anticipate second quarter revenues to increase by about 1.5% on a sequential basis, plus or minus 3.5 percentage points. As we already anticipated, and now this is well-known by the industry, the second quarter is another quarter of weak sales in smartphones, particularly for our Imaging business, while we certainly see another quarter of sequential growth, and solid year-over-year growth in Automotive and Industrial for our broad range of products, Automotive ICs, Power Discrete, Analog, Microcontrollers and Digital, so very broad. Indeed, despite this weak demand for smartphones, in the first half of 2018, we anticipate second quarter and first half revenues to grow year-over-year about 17.5% and 19.8%, respectively, at the midpoint of our guidance range. This will be driven by the continued better-than-seasonal sales trends in the automotive and industrial end markets, and in Internet of Things applications. We see healthy demand for the second half of the year, with a backlog supporting our expectations for strong revenue growth across all our product groups and end markets, and this time including also smartphones and regions. In terms of profitability, we expect the second quarter gross margin to be about 40%, plus or minus 2 percentage points. This expected gross margin, which we have delivered in the past two quarters, results in a solid level of profitability and return on invested capital. As part of our Annual General Meeting resolutions issued earlier this month, our Supervisory Board is proposing to shareholders to declare a cash dividend of $0.24 per common share payable to shareholders in equal quarterly installments. The Annual General Meeting of Shareholders is scheduled for May 31, 2018. To conclude, we look forward to meeting with you at our 2018 Capital Markets Day on May 15 in London. As you know, this will be, for me, a special Capital Markets Day, the last one before my retirement. I will be pleased to meet with you all, and thank you in person for your support and continuous interest in ST throughout the years. My colleagues and I will now be happy to take your questions. Thank you.
Operator: The first question is from Alexander Duval from Goldman Sachs. Please go ahead.
Alexander Duval - Goldman Sachs International: Yes. Hi. Many thanks for the question, and congrats on a solid quarter. Just a couple of quick ones from me. First of all, I wondered if you could give a bit more detail on Auto and Industrial inventories, what's the latest update on the levels you're seeing across the market, both more broadly and at your own distributors, and are there any signs of double ordering or anything like that? Second of all, in silicon carbide, you talked about multiple design wins in that area for EV and on-board the car. What do you see as the key differentiating features you have there that have allowed you to have this first-mover advantage? Many thanks.
Carlo Bozotti - STMicroelectronics NV: Yeah. Well, I think let's start from the inventory. We see a strong demand on Automotive everywhere. It is across the board. And from a technology point of view, the products, the application, the geography is very, very strong. And we don't see any sign of accumulation of inventory, just the opposite, very, very strong demand. Distribution point of sales in Q1 was our record ever. The point of sales of our distributors in Q1 increased 17% year-over-year, and they increased 3.4% sequentially despite the Chinese New Year, so which is quite unusual, in fact. And I think the situation on inventories is healthy. Now, of course, the question on double order here is not that black and white. We have in certain areas backlog coverage that is even above the budget of the year. So, we could not exclude that there is some doubling ordering, but the backlog is very, very strong covering several quarters. Now, if we move to silicon carbide, well, of course, I think the major differentiation is the fact that we are really struggling and working very, very hard to make sure that this is transforming from today initial, interesting, low-volume business into a much bigger business. The industrialization effort, the effort that we are putting to make sure that this is good quality, good yield, very high volume, very quickly in 2018 is an important differentiation because we want to be the first. Of course, this is built on many, many years of innovation in the development of the technology. I think we have accumulated a lot of know-how, I think is absolutely critical the performance in terms of power dissipation. And we believe that we have some competitive advantages, and we see now more and more with more carmakers, so it's in industrial applications. There are challenges. This is not an easy journey, but I think it is a unique opportunity for the company, and we are trying really to lead here. We are working very, very hard to lead and to keep growing there in this phase of transforming this initial volume, in massive volume, and the spreading in terms of customers and applications.
Alexander Duval - Goldman Sachs International: Great. That's very helpful.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Alex. Next question, Moira?
Operator: The next question is from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande - JPMorgan Securities Plc: Thank you for letting me on. I have a question for you. I mean, longer term, Carlo. I mean, clearly your Microcontroller business has been a huge winner in your tenure at ST. What are the next big businesses that ST has as you see them, I mean, in terms of being able to create stable, consistently growing businesses going forward at ST? And clearly, I mean, that has been one of them. And secondly on the gross margin, Carlo Ferro, I have a question on how we should be looking at incremental gross margin from here given your level of utilization remains very high. Should we be now looking at that you will be building new fabs and that will have an impact on your gross margin on a one or two-year view from here? Or is it that most of the incremental growth for ST from here is going to be outsourcing? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, I think – let's start with Microcontrollers. We started with the STM32 in 2007, and the perimeter of what we have in MDG that is, of course, our Microcontrollers and Digital ICs Group. In that perimeter that is general purpose microcontroller and the secure microcontroller, in 2007, the company was number 12, okay? We had a small presence in 8-bit and nothing on the 32-bit, and I would say already a good position in secure microcontrollers. And I think last year, we were number two. So in 10 years, we move from position number 12 to position number two. And I think what we see in microcontrollers is an important acceleration of the market. And we see this acceleration very strong in industrial, and we want to keep going. Of course, we want to become number one. This is obvious. Again, this is the perimeter that is under MDG, that is general purpose and secure microcontrollers. And there are some important trends that we see here. The first is connectivity. The second trend is certainly security. So, even on general purpose microcontrollers, we want to put on board more security and crypto-key is under solutions for more secure applications, and, of course, also distributed form of artificial intelligence. So these are three important drivers. We want to leverage on a very, very successful ecosystem now, more than 50,000 customers. Here again, we want to move from more than 50,000 to 60,000 very quickly. And I think also on a base of silicon technology that I believe is quite unique both at the range of 40-nanometer, but also at the range of 28-nanometer. So, Sandeep, I'm saying all of this because we want to become stronger in the things that we do. We do not want to do many more things. I think there is enough to do on the portfolio that we have. And I believe we have the opportunity to become stronger in any of this product block. And many of these product blocks are really instrumental to be successful in Automotive and Industrial. And these are from an end-market point of view very, very important applications for us. Our presence in smartphone, as you know, is more limited to more special products. We are not in the digital core, for instance, is more on the periphery – important peripheral products, but more specialized. While Industrial and Automotive are very broad market for us and there is a lot that we can do in terms of covering, for instance, all the new wave of applications in the IoT World, in particular in the IoT for factory automation, for these new formal applications. So, really trying to focus on what we have and become stronger on what we have and growing faster.
Sandeep Deshpande - JPMorgan Securities Plc: Thank you.
Carlo Bozotti - STMicroelectronics NV: So, on the gross margin, Carlo will take it.
Carlo Ferro - STMicroelectronics NV: Good morning, everyone. Good morning, Sandeep. Thanks for the question. So, on gross margin, the result for the first quarter and then really these 39.9% (30:22) with, first, the absorption of a larger chunk of the currency impact as we have already 80 basis point negative impact from one year ago quarter. And also including a number of one-time events that's somehow associated with some of the shipping of products and the programs planned for the year that have a hit and about 1 point to the gross margin, a portion already included in our guidance, a portion even on top of that. So, we have now another quarter solidly at the 40%. And for second quarter, midpoint, we anticipate 40% and this now is coming with a currency rate at 1.21%. So, almost absorbing where the euro-dollar exchange rate stands now. This is reflecting a clear improvement in the product mix, and this is something that certainly is the opportunity of continuing across the portfolio of the company and these reflecting a manufacturing efficiency. Overall, at the end, what we needed in manufacturing. In term of flexibility, now is the technology – the flexibility and the technology mix in the fab, particularly in 300 millimeter that are more asset intense. The flexibility with a third-party partner is increasing. We have reached in term of value now 18% of the value of our silicon from silicon foundry. About one-third of our assembling and testing activity at – was at the partner and this is a process which is continuing, so the flexibility is there. Then, looking forward, starting from this situation, clearly there is a great overall opportunity for the company on the margin expansion, on operating leverage and on the overall evolution over time of operating profitability and return on invested capital. Then to go on the gross margin dynamic beyond the second quarter, I do not expect me to make a change today in respect to the usual habit to guide on gross margin quarter-by-quarter, right?
Sandeep Deshpande - JPMorgan Securities Plc: Thank you, Carlo Ferro.
Tait Sorensen - STMicroelectronics NV: Thank you, Sandeep. Next question?
Carlo Ferro - STMicroelectronics NV: You're welcome.
Operator: The next question is from Anthony Stoss from Craig-Hallum. Please go ahead.
Anthony Joseph Stoss - Craig-Hallum Capital Group LLC: Good afternoon, guys, and my congrats on the quarter and the guide. Carlo, perhaps you can help us out a little bit more on each of the product segments in terms of your Q2 guide. For instance, on the AMS side, how much you think that group will be down sequentially? And likewise, ADG and MDG, how much you think that will be up? And then also just following up on the gross margin side of things, over the next, call it, several years, where do you think gross margins can go? And I apologize if I'm stealing any thunder from your upcoming Analyst Day. Thanks.
Carlo Ferro - STMicroelectronics NV: Yeah. Maybe I take the question on the second quarter revenues guidance. At the end these 1.5%, as mentioned, reflect a quarter even weaker than prior quarter in the Imaging division. Who do we, at the end, exclude this impact in the Imaging division? The Q1 to Q2 sequential dynamic this year is expected to be above the normal seasonality. And for us, normal seasonality in this period is a growth of between 4% to 5%. This is solidly with the Automotive and the Discrete Group. This is also in the Microcontrollers and Digital ICs Group. And this, overall, at the end, almost, is reflected also in the overall Analog and MEMS business with, as Carlo said, solid demand supporting each of these specific subgroups for the company.
Anthony Joseph Stoss - Craig-Hallum Capital Group LLC: And on the gross margin side?
Carlo Ferro - STMicroelectronics NV: The gross margin side, what is the question, second quarter dynamic?
Anthony Joseph Stoss - Craig-Hallum Capital Group LLC: No. It was around where you think it can go?
Carlo Ferro - STMicroelectronics NV: Okay. Was that the same question I already answered to Sandeep with – again, if you want, I could repeat. A lot of encouragement and positive and optimistic view on the overall dynamic, in general, the usual caution and prudence, we do not give guidance beyond the quarter-by-quarter approach.
Carlo Bozotti - STMicroelectronics NV: Yeah. Now, certainly, there is the opportunity to have, I would say – to continue to grow. I think we see important opportunity to grow. In fact, it was in my script. And we fully confirm what we said three months ago. And also H1, it is anyhow close to 20% grow year-over-year. Now, the guidance is 19.8%. H2, we said three months ago, we are reconfirming today, is going to be material growth, H2 over H1, but also H2 over H2. (36:14) over H2 last year. And we will really remain disciplined to make sure that a part of this growth is transformed into economic leverage. We have done a big way last year. And, of course, it is kind of unprecedented because we were starting from a level that was pretty low. This year, we are starting from a level that is significantly higher. But with the evolution that we see in terms of revenues and moving from H1 to H2, certainly, we see another wave of economic leverage coming. And, of course, we want to remain disciplined to get it done.
Anthony Joseph Stoss - Craig-Hallum Capital Group LLC: Thank you, Carlo. Congrats again.
Carlo Bozotti - STMicroelectronics NV: Thanks.
Tait Sorensen - STMicroelectronics NV: Thank you, Tony. Next question?
Operator: The next question is from Stéphane Houri from Natixis. Please go ahead.
Stéphane Houri - Natixis SA: Yes. Hello. Good morning. I'm afraid this question is again around the gross margin, but I'd like to understand what you did during the quarter in terms of manufacturing, meaning, did you repatriate some products that were manufactured outside to compensate for the weakness of the smartphone market that seems to be even stronger in Q2? And did you have time to react and does it explain the reason why the gross margin is expected at around 40%? And the follow-up is on the level of R&D. There is a step-up in Q1. I think you have alluded to some exceptional items. Is that in the R&D line, and is that the lever we should keep in mind going forward? Thank you.
Jean-Marc Chery - STMicroelectronics NV: So, Jean-Marc. So, I will take the first question. Now, this is clear that we have built in flexibility in our internal fab and you know mainly in core 300 which is exposed to the smartphone end market. So, clearly, we have built in a capacity able to address embedded non-volatile memory enabling microcontroller either for automotive general purpose usage or secure micro. We also built a capacity able to address Digital ICs to address automotive. And during the past two year, taking benefit of the – the six quarter in a row of growth, we have built activity outside with a main partner. So now with this situation taking into account the smartphone activities, we have the full capability to maintain core 300 fully utilize with adequate mix. Yeah.
Stéphane Houri - Natixis SA: Okay.
Carlo Bozotti - STMicroelectronics NV: Well, on the expenses, well, let's face it, we have – we do not talk much about euro-dollar rate that is certainly not helping, Carlo will comment on the expense. In one year, the impact of the euro-dollar moving from the USD if you want last year to the situation today, certainly we are not enjoying a favorable evolution.
Carlo Ferro - STMicroelectronics NV: But at the end, Stéphane, I see frankly no surprise on the first quarter result on this metric. We entered with, if I well remember, sharing an expectation of net effect somehow above the $600 million. We have delivered $598 million. I have fairly to say that these $598 million includes $5.5 million onetime gain from the sale of small participation of strategic. So, at the end, you should make the math $604.5 million is somehow above $600 million, so it's well in the expectation. Then on the year-over-year dynamic, it's clearly at the end a combination of good progress on the completion of the set-top box restructuring, which is now completed. As a consequence of this completion, the good news is that Q1 2018 is the last quarter we report restructuring charges associated with this restructuring programs and there are no other prospects. We have, overall, at the end also to face the currency, as Carlo said, and the overall impact of currency on the operating income year-over-year is negative of $40 million. And also somehow the – not only inflation is dynamic in results. Some of the variable cost component clearly with better results are also somehow inflating on top of supporting the fast growth of the company, which means sometimes in the R&D of the product groups, and particularly in sales and marketing, and our regional footprint of interfacing with a customer (00:41:55).
Carlo Bozotti - STMicroelectronics NV: So I think overall, we remain very disciplined in expense control. There are, as Carlo explained, some aggravation over. For the first time in Q2 restructuring is zero. In Q1 it was $21 million. It is nice to see that the restructuring cost in the second quarter is zero.
Stéphane Houri - Natixis SA: Okay. Thank you very much
Tait Sorensen - STMicroelectronics NV: Thank you, Stéphane. Next question?
Operator: The next question is from Andrew Gardiner from Barclays. Please go ahead.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Good morning, gentlemen. Thanks for taking the question. I had another one on the Auto space. Your Auto revenue growth continues to accelerate. It's moved from mid-single-digit year-on-year growth this time last year to mid to sort of high teens it looks like in the second quarter. And that's coming at a time when Auto units are roughly flattish globally. So it does seem to suggest they step up in share or in content relative to what we've been seeing previously. Do you have a view as to sort of the balance between those two factors, how much do you think is content gain sort of generally across Auto? How much is sort of market share gain for you? And I have a quick follow-up afterwards if that's all right.
Carlo Bozotti - STMicroelectronics NV: If you look back at 2017, the car registration – the number of car registration in the world increased by about 2.5%, slightly less than 2.5%. This is last year. In this frame, I believe that the overall – and here I'm talking about all the products for automotive applications – the growth for me last year was in the range of 10%, this is Automotive year-over-year. And we grew last year about 10% taking into consideration all of our Automotive Products. However, starting from the second part of the year, and particularly in Q4 last year, we accelerated the growth. In Q4, the growth was, for us, about 17%. And in the press release we report APG, the Automotive Product Group, that does not represent all the products that the company has for automotive customers. But in my script I read that in Q1 we grew more than 17% year-over-year in Automotive with automotive customers. I believe that with this level of growth, let's say, but, of course, we want to keep growing, maintaining a growth in the range of 15% to 17%. I am confident that we are now clearly gaining market share. And I have to say that it's a combination of many things. In the car, we do not have the modem, the 4G modem. We do not have the high-end application processors. But for the rest, our presence is very global, many, many microcontrollers, car infotainment, safety solutions, very complex ASICs, and then on the Smart Power, and more recently also the Power Discrete and the sensors for automotive applications. So you see it's very broad and moving on with the growth that is in the range between 15% and 17% year-over-year, we believe that we will certainly gain market share in 2018.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: So you can see that kind of revenue growth rate continuing into the second half, that's sort of the qualitative statement you made around sort of the strengths. I mean, within Auto, it can remain at those levels.
Carlo Bozotti - STMicroelectronics NV: Absolutely. This is what we see.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: And then just a quick one on inventory. It stepped up in the quarter. Just wondering if you can make a comment sort of across – if there's any particular build across certain areas or whether it's just broad-based planning for growth.
Carlo Ferro - STMicroelectronics NV: Almost all the evolution of inventory in Q1 is on the finished product are within the frontend diffusion process and the (00:46:59). So really is for preparing revenue growth in the second quarter and beyond.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Thank you, guys.
Carlo Ferro - STMicroelectronics NV: You're welcome.
Tait Sorensen - STMicroelectronics NV: Thank you, Andrew. Next question.
Operator: The next question is from Aleksander Peterc from Société Générale. Please go ahead.
Aleksander Peterc - Société Générale SA (UK): Yes, good morning and thanks for taking my question. So, congratulations on the guidance really nicely. I was just wondering about the second half seasonality, because your smartphone exposure increased quite substantially in the fourth quarter last year. Will we see a similar pattern this year or should we expect more of a smartphone recovery broad-based across the third and fourth quarter? And then, just secondly, in terms of CapEx timing, it was quite strong in the first quarter. Could you be more specific on where that went and what we should think about the phasing of CapEx for the year? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah. Well, I'll take the first part. We see pretty strong Q3, not only Q4. So, yeah, I mean, normally Q4 is higher than Q3, but we see a step-up, step forward, step-up in Q3. And from what we see, of course, this is the visibility that is supported by new programs, products, with other customers' information. We see a step-up already in Q3 that is not form – (00:48:30) is material. And we see a further acceleration during the course of the last quarter of this year. If we go to CapEx, Carlo it's broad, but it's mostly Automotive and Power.
Carlo Ferro - STMicroelectronics NV: Again, the CapEx in the year were already anticipated to be significantly front-loaded to prepare for revenues growth across the board, and also to accompany these process of technology evolution in the fab that Jean-Marc has described earlier. So, as you note, the overall context for the year in the demand in the industry and our revenues expectation is very much similar on the path to what did happen last year. So like last year, I believe now the question came at a time where the company is reviewing its capital spending plan. And at the end, based on overall demand, visibility of revenues for the second half of the year, need of increasing the flexibility on the technology mix on the fab, I would not exclude that we may have – the company may have to review upside the CapEx forecast for the year. As usual, I believe the May 15, the Capital Markets Day, is a good appointment to make the point on these metrics.
Aleksander Peterc - Société Générale SA (UK): Excellent. Thank you very much.
Carlo Ferro - STMicroelectronics NV: You're welcome.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Aleksander. Next question, please.
Operator: The next question is from Janardan Menon from Liberum. Please go ahead.
Janardan Menon - Liberum Capital Ltd.: Hi. Good morning. Thanks for taking my question. I've got two. One is, you talked about Automotive growth and how you expect that to be in the region of 15% to 17%. I was wondering whether you can give us similar kind of analysis for your IoT market or the broader IoT flash industrial market. Your microcontroller and parts of your analog business has been growing in the mid-20% kind of range. Is that indicative of what kind of growth you are seeing in those segments and how do you see that continuing in future? And my second question is on the sort of 3D sensing space. Some of the other players in 3D sensing have been reporting multiple design wins in the Android space. I was just wondering what is your interaction there, especially from an image sensor or a module packaging kind of a standpoint. Are you seeing any design wins which will translate into revenues in future years?
Carlo Bozotti - STMicroelectronics NV: Yes. Well, I'll take the first part and then Jean-Marc take the second part. Well, as you know, it's not that simple to track the large fragmentation of IoT applications, but we are working with regards on that and we have now a new very, very comprehensive application tree in the company and with hundreds and hundreds of application branches. And for any of this branch, we will put a tag, this is IoT and this is not IoT. So we are making a very systematic work in this respect. However, there is another indicator that maybe is simpler for me to give to you is our presence in mass market. We see that in Q1 our distributor POS year-over-year increased 17%. I do not believe that this level of increase is sustainable at this high-teens level. However, what we see moving from 2017 to 2018 is certainly a double-digit growth in all the mass market activity of the company. And for us, the mass market activity does not include, just to be very, very clear, our top 10 customers, plus another about 50 customers that are those customers that we manage globally in the world. So the rest, if you wish, is what we define in the category of mass market. This is a big part of the company. It's becoming, of course, an interesting part of the company. And this is double-digit growth, but not at the level of the 17% growth that we had Q1-over-Q1. So pretty solid, pretty robust and very, very much broad-based with today an increasing effort in Industrial. We have been investing a lot in Industrial. Just few examples, the Longevity Program for our MEMS, these are 10 years longevity on MEMS. This is for Industrial application. Another example is all the new higher-end microcontrollers and the new development for industrial processors for industrial applications, a wave of Smart Power products in our Analog domain. And so you see many – the SiC, of course, the silicon carbide not only for Automotive, but also for Industrial. So there are many elements, and this is a market that is very fragmented, is a very important market for us. This market is very much through distribution and this is a big block, close to $4 billion. And this year we will certainly be above $4 billion, and we see this as a double-digit step.
Janardan Menon - Liberum Capital Ltd.: Okay. So your IoT broader Industrial market, you would say is about $4 billion and will grow double-digit?
Carlo Bozotti - STMicroelectronics NV: Last year was below $4 billion. This year will be above $4 billion. This is mass market, and the definition of IoT technically is not 1:1, as I explained, because – however, if we take the mass market that is all the business of ST basically without the top 10 and another 50 customers that are the customers that we manage globally, so about 60 accounts in the world, it was below $4 billion last year. It is certainly above $4 billion this year. And this is another 10% or more step, is certainly double-digit, but as I said, not at the level of the Automotive.
Tait Sorensen - STMicroelectronics NV: And Janardan, we'll have more details on this at our Capital Markets Day for sure.
Janardan Menon - Liberum Capital Ltd.: Got it. Thanks. And on the 3D sensing?
Jean-Marc Chery - STMicroelectronics NV: Okay. So Jean-Marc speaking. So, now, it is really well-known that in the depth sensing technologies to address mobile device, basically there is three big families, so the stereo vision, the structure of light, and the Time-of-Flight. And some are more adapted to address depth sensing for the front of the camera and some are more adapted to address the depth sensing for the back of the camera. It's important to say that STMicroelectronics has currently a portfolio of IPs building block, silicon technology and complex module assembly and testing to address everything, and we have a roadmap related to that as well. So, of course, ST will address with the most adapted solution, one of these kinds of application and, of course, including the Android world.
Janardan Menon - Liberum Capital Ltd.: Okay. But so far have you got any wins as yet?
Unknown Speaker: We have got design wins in Android world.
Janardan Menon - Liberum Capital Ltd.: Okay. Thank you very much.
Tait Sorensen - STMicroelectronics NV: Thank you, Janardan. Next question.
Operator: The next question is from David Mulholland from UBS. Please go ahead.
David Mulholland - UBS Ltd.: Hi. Thanks. Just one. Coming back to the comments you made on silicon carbide. I wonder if you can just give us some color on the timing of when you actually expect these design wins to ramp and how you feel about the ramp schedule in the context of the wafer supply in the industry on that. And then one quick follow-up. On the other income line, still a, I think, $16 million profit in the quarter. Obviously, in the past that's been R&D grants and I thought were going away this year. Can you maybe just update us on what's happening there as well?
Carlo Bozotti - STMicroelectronics NV: On the silicon carbide, I think we reconfirm what we said, of course, in Barcelona. This is the first year of production in the silicon carbide. I think our target, as we said also, (00:58:23-00:58:31) to be in the range of $100 million. And then, of course, depends very much on – we see a lot of design awards, design wins, et cetera. I think it is the gradual increase and will take some years, but this can become very, very important, because the addition business opportunity for us in this field of the car electrification, it would be enough to have few percentage of the total volume of cars in the world with silicon carbide content in the inverters to drive the motor to make a big step, because, of course, there are many, many drivers in any of this inverter, but it would be gradual. So we confirm the plan for this year, and then I think it will take some time particularly with our automotive customers to grow. But we see a lot of design awards, a lot of testing with ST products, and on top is not only – as I said before, it's not only automotive. It is also industrial applications. So I think it's broad. I think it's a good opportunity. We need to also to make our homework here. There's a lot to do, but certainly a great, great opportunity for the company.
Carlo Ferro - STMicroelectronics NV: On the other income and expenses line, as I have mentioned earlier, the $16 million other income reported in the quarter include a onetime gain on a sale of minority participation. If we exclude this amount, it's about $10 million. And then these reflect the R&D fundings that, as you note, has reduced, but this is something we have anticipated, and also this line includes some of the patent defense expenses. So, overall at the end, I'll say that starting from this clean $10 million in Q1, for the next quarter you may expect something between the same number of couple of million less. If you take an average of $8 million per quarter for the next three quarters is a good approach, I will see.
David Mulholland - UBS Ltd.: Thanks very much.
Tait Sorensen - STMicroelectronics NV: Thank you, David. Next question, please.
Operator: The next question is from Adithya Metuku from Bank of America. Please go ahead.
Adithya Metuku - Bank of America Merrill Lynch: Yeah, good morning, guys. So I have two questions. Firstly, can you give us some color on the linearity of orders in the quarter? Did that strengthen as you go through the quarter? And secondly, can you give us some color on what gives you confidence on growth in the smartphone market in the second half of the year? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah. Well, I think, as I said, we have a very, very strong backlog coverage. So, of course, the order entry during Q1 did reflect also the strength of the backlog and the coverage of the backlog, right? So, we have regions where the backlog that we have in the year is above the yearly budget I was covering here. So, of course, bookings reflect this coverage of the backlog. I think there are few areas where today we expect – for instance, in Q2, we expect some form of term business is very limited, the area where we have expectation for additional term business very, very limited. I think, of course, we see moving on. Now, if we look at the smartphone, of course, as I said, this is an area where our presence is more with special products, with limited number of customers on more proprietary technologies. And the information that we give is based, of course, on the information that we have that we cannot disclose, because it is impossible. But this is coming from the information that we have from our customers around the world, and is simply based on that. So we report what we know. Personally, I believe that what we are reporting is nothing strange in terms of evolution in the smartphone market. It's not unusual things and is more our content, is our content that is making the difference here. We are certainly not counting on volume increase at certain smartphone manufacturers. We are simply taking into consideration the opportunity that we have with the silicon content contribution from our company.
Adithya Metuku - Bank of America Merrill Lynch: So are you saying you expect content growth in the second half of this year versus second half of last year?
Carlo Bozotti - STMicroelectronics NV: Yeah. We expect content growth. We expect a larger deployment. We expect many things. And what we do not expect is that we've been increasing in the volume of smartphone, and this is not in our calculation. Our calculation is we are in more models, we are with more content, but it's not more volume per se.
Adithya Metuku - Bank of America Merrill Lynch: No. I mean content per, not more models.
Carlo Bozotti - STMicroelectronics NV: We are in more models. We talk about Samsung, a couple of new model in Samsung, S9 and S9+. But we can talk about Huawei if you wish.
Adithya Metuku - Bank of America Merrill Lynch: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Adi. Next question, please.
Operator: The next question is from Veysel Taze from ODDO. Please go ahead.
Veysel Taze - ODDO SEYDLER BANK AG: Yes, hi. Thank you for taking my questions. The first one would be color around quarterly OpEx run rate for the rest of the year would be very helpful there. And I have one follow-up.
Lorenzo Grandi - STMicroelectronics NV: Carlo, I can take the question. Lorenzo speaking. On expenses, you see that on the first quarter, we were in the range of $600 million if you take into consideration the other income. What we do expect for the second quarter is the second quarter in term of seasonality is not favorable. And there is also the impact of the exchange rate. So what we do expect, also considering the other income will be in the range of $7 million, $8 million, to be on net expenses for the next quarter in the range of $610 million and $615 million. Then there will be the usual seasonality in Q3 little bit mitigated. And then there will be some increase in Q4, as usual, during the length of the quarter, the calendar.
Carlo Bozotti - STMicroelectronics NV: But no more restructuring cost, which is good news, and in Q1 was $21 million.
Veysel Taze - ODDO SEYDLER BANK AG: Okay. And then on your silicon carbide business, I mean, it was in Q4 first revenues high single-digit. And then there was something $50 million to $100 million for this year. But are you – like, you are now in the second quarter, are you happy with the progression of your silicon carbide revenues in the Auto space? Because there have been a lot of speculation with one of your lead customers not able to ramp volumes. So how was the first half there?
Carlo Bozotti - STMicroelectronics NV: Well, I think, as I said, we are working very, very hard. We cannot say we are happy. We are not happy. We need to always – really to strive to do more, to go faster improving the quality, the yields. There are new programs. Certainly, a big effort in the company, it's also a big opportunity. We want to keep going with the same level of determination in Q2 to continue with the ramp-up and move to higher volume for sure in Q2, and then higher volume again in Q3, and then in Q4. It's a continuous progress. Overall, I think there is an opportunity to make a difference here and we certainly want to make a difference. So we should never be happy in this kind of things. We need to just push more and go faster and make the difference for us and for our customers.
Veysel Taze - ODDO SEYDLER BANK AG: Okay. And then quickly on the fab question, it was addressed before, but I'm not sure if you answered that. On the fab question, I mean, if you look at one of main competitors, it's speculated that they will ramp a new fab and there were also rumors, speculation in the market that you might be ramping a new fab 2020/2021. I mean, if we say the level of growth, let's say, stays at the high-single-digit, is that something you need to definitely think about to ramp a completely new fab?
Carlo Bozotti - STMicroelectronics NV: No, we did not. I mean, today the only – we want to have the Smart Power technology on 12-inch, and we are working on that. But it is – what people see here is a pilot line to make sure that on the very advanced Smart Power technology, I'm talking about Smart Power ICs technology, we could move the development to 12-inch. But we did not have any initiative for new fab that there are opportunities, of course, to exploit better the dimension of scale in certain types. And this is an opportunity to grow the volume and, at the same time, to reduce the cost. For instance, in Crolles 300 we have opportunities in the same infrastructure to grow farther if needed. But as we said, the priority is also to invest, to build up flexibility, because we want also to build up flexibility. So now we do not have any plan for a new big fab.
Veysel Taze - ODDO SEYDLER BANK AG: Okay. Thank you very much.
Tait Sorensen - STMicroelectronics NV: Thank you, Veysel.
Veysel Taze - ODDO SEYDLER BANK AG: Thank you very much.
Tait Sorensen - STMicroelectronics NV: Next question, please.
Operator: The next question is from Robert Sanders from Deutsche Bank. Please go ahead.
Robert Sanders - Deutsche Bank AG (UK): Yeah, good morning. Congrats on the quarter. Are you seeing foundry wafer pricing becoming more benign at all, given there's quite a lot of excess capacity now out there? I was just wondering if that could contribute to your gross margin. And then secondly, what is your level of concern around the sustainability of your position in Imaging at your largest customer, smartphone customer? What's the length of that contract you have in place? Because clearly Apple bought a start-up. There are, obviously, other companies wanting to compete for that socket. So I was just interested in what your confidence level was around that socket. Thanks.
Carlo Bozotti - STMicroelectronics NV: Maybe I take the first question on pricing with foundry and (01:11:20). We see normal business trend. Clearly, pricing reflect the maturity of the different technology node, so I would say nothing special in this respect.
Jean-Marc Chery - STMicroelectronics NV: And Jean-Marc speaking again. On Imaging, so I repeat, today, clearly, ST, we have the IPs, building block, the silicon technology with innovation – for innovation the complex specialized modular foundry capability. And with these set of capabilities and the roadmap associated, we can address structure of light, Time-of-Flight or as part of the stereo vision. So thanks, okay, to this position, our Imaging position is very strong. So we can address custom design with big customers whatever is operating system and I repeat, okay, Android as well.
Carlo Bozotti - STMicroelectronics NV: But we cannot comment on specific customer. You know that and, of course, these are very complex initiatives. But certainly, we are not in the condition to comment on a specific customer.
Robert Sanders - Deutsche Bank AG (UK): Okay. Thanks a lot.
Tait Sorensen - STMicroelectronics NV: Thank you, Rob. Next question.
Operator: The next question is from Günther Hollfelder from Baadar-Helvea. Please go ahead.
Günther Hollfelder - Baader-Helvea Equity Research: Yeah, thank you. Two questions left, maybe one follow-up on the new capacities. There is this 300 millimeter pilot line project in Agrate, I think, going on, so I was wondering if it's one scenario, could it be like a conversion to 300 millimeter here and if you could provide an update. And the second question would be in general about gallium nitride. Could you update us on your activities there and when you expect first major sales contribution from gallium nitride transistors going forward? Thanks.
Carlo Bozotti - STMicroelectronics NV: Yeah. Well, maybe I start from the gallium nitride and then Jean-Marc is taking on the R&D activity in 12-inch for Smart Power. Priority today is to really ramp-up nicely the SiC this year. We have cooperation in the area of gallium nitride. We even announced an important design award. This is an activity that is run in cooperation with MACOM, I think, we can say, because there was a press release and this is more for power RF applications in the area of 4G and 5G base stations, and the technology is running in (01:14:45). And, of course, I cannot describe the detail of the contract. But there are areas where the contribution from our side, it is not only technology and manufacturing, but is also marketing and applications, while there are areas where the contribution is exclusively in terms of technology and manufacturing. So this is one area and this is more on the area of power RF gallium nitride application and technologies. Then there is another area that is more for power applications. This is an activity that we run in another site of the company. And this is an area where we do not have yet short-term manufacturing initiatives, but is more in R&D. So, you see is really two blocks in the area of GaN. Having said all of that, the major priority for us in 2018 is, of course, the ramp-up of the silicon carbide fab. The second one is...
Jean-Marc Chery - STMicroelectronics NV: Is about the pilot line, and the pilot line will be set up based on new equipment in our current infrastructure facilities and capabilities. Today, our equipment capacity in 8-inch and current 12-inch equipment capacity are close to the full saturation, about 90% of saturation. So there is no space, okay, for equipment conversion from 8-inch to 12-inch. A waiver, as Carlo said a few minutes ago, we have still opportunities to expand some R&Ds, pilot line, or manufacturing capacity in our current infrastructure and this is what we will leverage according to the demand or according to the request in term of technology development.
Tait Sorensen - STMicroelectronics NV: Thank you, Günther.
Günther Hollfelder - Baader-Helvea Equity Research: Thank you.
Tait Sorensen - STMicroelectronics NV: Next question, please.
Operator: The next question is from Achal Sultania from Credit Suisse. Please go ahead.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Hi. Good morning. Two questions, if I may. It's on your MDG segment. So if I look at MDG, I think there are basically general purpose microcontroller, secure microcontroller, and your digital IC. And given the growth that you've seen, can you just help us understand or give us a range of how, are all of those three segments growing year-on-year in MDG? And any color around the level of growth you're seeing in those segments? And then on the margin side, you're already like touching close to 20% EBIT margins in that business. And I remember, like, in the past you said, microcontrollers is the highest across the whole group. So, just trying to understand if there is still any, like, areas where you can improve margins, whether it's digital ICs or secure microcontrollers, or if there is any other headwinds or dilutive (01:18:23) in that MDG segment? Thank you.
Carlo Ferro - STMicroelectronics NV: Maybe I take the first part of your question. Then indeed in the Microcontroller and Digital ICs Group, as you said, we have three blocks. One is the digital, one is the EEPROM, the memories, and the other one is the 8-bit and 32-bit microcontroller for general purpose or secure applications, and I can confirm that all these three blocks are expected to grow year-over-year in the second quarter based on the midpoint of the guidance.
Carlo Bozotti - STMicroelectronics NV: So the other question is...
Carlo Ferro - STMicroelectronics NV: The margins on memory.
Carlo Bozotti - STMicroelectronics NV: The margin structure. I think here there is a big difference, of course, between what we call design as MMS, that is microcontrollers, secure microcontrollers and (01:19:16) basically and digital. We are coming from digital for a massive loss. And now there is an initial profit, and this was achieved certainly now thanks to sales growth. There was, on the opposite, a decline in certain areas, phasing out certain products, and of course, the major restructuring. And I think in the group here we have been working on the product mix a big way. And now in digital, I think we are at the level – or the first – as I said, as I defined before, is the first sustainable level of profitability and gross margin ambition is pretty good here. We need to keep going with our effort, particularly in ASICs, particularly in BiCMOS, for instance, in RF solutions, ASIC solutions; ASIC also for space and defense. And certainly from a technology point of view, everything that is beyond 28-nanometer is not in the company. We have announced 7-nanometer ASIC win. This is made with a FinFET technology that, of course, is not technology that we run in ST. So here it was a global change. Sales did not contribute to turnaround. It was really mixed management and also a reduction of the R&D resources in this area. Looking at the future, as I mentioned, in the BiCMOS, in the RF, the FD-SOI radiofrequency, the space and defense, and certain very advanced ASIC solutions using FinFET technology, here it may open up to a new wave of growth in the future, but keeping a level of gross margin that is higher than the average of the company. Now, completely different story is MMS, because in MMS we have been traditionally very good in EEPROM always number one since many, many years with a pretty good gross margin and pretty good profitability and return on investment. And then there was this big evolution in microcontrollers. In 10 years, we went from number 12 to number 2. We want to become number 1 in this perimeter. We need to keep innovating structurally in microcontrollers together with EEPROM, together with the Analog ICs, general purpose microcontrollers, EEPROM, Analog ICs, these are those families where I believe we can enjoy the higher level of margins and profitability.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Okay. Thank you, Carlo.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Achal. We have time for one more question, please.
Operator: The last question is from Jérôme Ramel from Exane BNP Paribas. Please go ahead.
Jérôme Ramel - Exane BNP Paribas: Yeah. Good morning.
Carlo Bozotti - STMicroelectronics NV: Good morning.
Jérôme Ramel - Exane BNP Paribas: We heard from your competitor and some of your customers that lead times for some specific products, I'm thinking about power, which are expanding. So I'd like to know what the situation today for STMicro in term of allocations, in terms of lead times. And have you increased prices for discrete and power components? And just a follow-up, like just to be curious, what is the current capacity in Crolles 2? Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah, we confirm. Lead time is still very long on Power Discrete and the demand is very strong. We talk a lot about silicon carbide, but I have to say that is a pattern of longer lead time on both low voltage power MOS and high voltage power MOS. Since we merge our Power Discrete division with our Automotive division, our presence on power MOS at automotive customers is, let's say, becoming more important continuously. So this is another area of opportunity. And I believe is an area that we want to push, is an area where we want to be stronger. And I think we have, let's say, the R2s to play a bigger role in these products here. We do not have any sign of getting better in terms of lead time on power MOS. The second question was on... (01:25:00)
Carlo Bozotti - STMicroelectronics NV: Crolles 300 capacity. No, Crolles 300, Crolles 200?
Jean-Marc Chery - STMicroelectronics NV: Crolles 2 is Crolles 300. Jérôme, so Crolles 300 millimeter capacity today is flexible for the 8,000 wafer per week between the mix of – with a well-balanced mix between embedded flash, specialized imaging, analog mixing RF on CMOS, and standard CMOS equal or below 28-nanometer. So this is our current capacities.
Jérôme Ramel - Exane BNP Paribas: Okay. Thank you very much.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you very much, everybody. At this point we'll go ahead and close our call. We appreciate your participation. And again, we'll have our Capital Markets Day on May 15 in London. If you need an invitation, please contact Investor Relations. Thank you.
Carlo Ferro - STMicroelectronics NV: Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.